Operator: Thank you for standing by. This is the conference operator. Welcome to the Enthusiast Gaming Holdings Inc. Fiscal Fourth Quarter and Full Year 2021 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions.  I would now like to turn the conference over to Eric Bernofsky, Chief Corporate Officer. Please go ahead.
Eric Bernofsky: Thank you, Shari. Good afternoon, everyone. And thank you for joining Enthusiast Gaming’s fourth quarter and year end 2021 financial results call. My name is Eric Bernofsky, Chief Corporate Officer of Enthusiast Gaming. With me today is our Chief Executive Officer, Adrian Montgomery; our Chief Financial Officer, Alex Macdonald; and our Chief Operating Officer, Thamba Tharmalingam. We’ll begin with some prepared remarks from Adrian and Alex before opening the floor to questions. Before we begin, I’d like to remind everyone that today’s presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties, and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements. A more complete discussion of the risks and uncertainties facing the company appear in the company’s Management Discussion and Analysis for the three-month and 12-month period ending December 31, 2021, which are available under the company’s profiles on SEDAR and EDGAR, as well as on the company’s website, enthusiastgaming.com. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this presentation. Company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward-looking statements as a result of new information, future events, or for any other reason. Now, it’s my pleasure to turn the call over to Adrian Montgomery, CEO of Enthusiast Gaming. Adrian?
Adrian Montgomery: Thank you, Eric. Good afternoon. And welcome to our fourth quarter and year end 2021 financial results conference call. I’m very pleased to share with you today the details of another record quarter and fiscal year. I will also share some key operational highlights and milestones. Lastly, I’ll let you in on how 2022 is going before turning it over to Alex to share more details on the financial metrics. 2021 was a pivotal year for Enthusiast Gaming, we maintained a clear focus on building the largest media and entertainment platform for video game and esports fans to connect and engage worldwide and I’m proud to say that our team continues to deliver. Let me share some of the highlights. First, we’ve been telling shareholders the steps we took in 2020 would consistently deliver quarter-over-quarter revenue and margin growth through 2021. I’m pleased to update shareholders today and to tell you that we are delivering on this commitment. Revenue in 2021 grew 130% to a record $167.4 million from $72.8 million in 2020. In Q4 revenue grew 34% to a record $56.9 million from $42.5 million in Q4 of 2020. Gross profit grew to a record $37.8 million in 2021, up from $18.6 million in 2020 and in Q4 gross profit reached $13.7 million, up nearly 40% sequentially. Gross margin improved in each quarter of 2021 reaching 24.1% in Q4, up more than 500 basis points from the same quarter in 2020. We told shareholders that the investments we made in 2020 by investing in focusing on shifting the business model to an integrated entertainment company, in part by staffing and resourcing a direct sales and customer success team would bear fruit in 2021. I’m pleased to again report that direct sales continues to make significant progress and give kudos to our incredible teams that are driving the change in conversation every day among Fortune 100 marketers, Fortune 100, 500, 1000 marketers, helping them redefine their go-to-market strategies on how to reach Gen Z’s and Millennials. Direct sales revenue grew to a record $22.2 million in 2021, up more than fourfold from just $5 million in 2020. In Q4, direct sales grew to a record $8.8 million and accounted for 16% of total revenue, compared with only 8% in Q4 of last year. I want to reiterate again, that; one, by building the largest media and entertainment platform for video game and esports fans to connect and engage; two, by connecting with hundreds of millions of gamers each month; three, by being ranked by comScore as a Top 100 Internet property in the U.S. and one of only two gaming companies to make the list. We offer more touchpoints to our Gen Z and Millennial audiences, for marketers to reach in any other gaming entertainment company and I might be so bold as to say any company in any category, targeting Gen Zs. But it now goes so much beyond offering more touch points, our proprietary content continues to grow and evolve. As you may recall, we have developed our own IP and custom content capabilities that when combined with unmatched reach, really does create a sustainable competitive advantage. Some of those franchises include, Gamers Greatest Talent, Rising Stars, Luminosity Academy, Luminosity Live, EGLX, Pocket Gamer Connects, Launchpad. And all of these properties, in addition to our media reach are all being sold directly via sponsorship or custom content integrations. In 2021, we worked with many new partners and I have spoken about several of them on past calls. We also noted in early 2021, that our direct sales team was going to commit itself to successfully unlock a new category for us in Hollywood Studio Films. This category proved to be one of our best in 2021 as we partnered with 17 film releases in the year compared to zero in the prior year. Some of the partners we work with include Amazon Originals, Disney, Elevation Pictures, Paramount Pictures, United Artists and Universal. This is one particular category we are very bullish on for 2022. Another point I want to focus on this quarter is the increasing success we are seeing on renewals as a percentage of overall direct sales. These are the partners that came back to us throughout the year on additional media and content activations. We often get asked about repeat business about whether our partners are just testing the waters with us or if we are providing real sustainable value to them. So I thought I would highlight the mix of renewals versus new business as we exited 2021. I’m particularly proud to say that in Q4 42% of direct sales revenue was from renewals, from partners we had previously worked with and further we are seeing deal size on average amongst renewals to be larger than new customers. That’s a very telling metric and bodes very well for our direct sales business line as again it is another proof point that our flywheel of services we offer brands is winning market share. Some of these renewal partners include AB InBev, Activision, Best Buy, Busesda , Disney, Elevation, FX Networks, G FUEL, HBO Max, Lego Microsoft, Nintendo, Procter & Gamble, Square Enix, State Farm Insurance, TikTok, Tracfone, Truth Initiative, Universal Pictures and Warby Parker. And I think it goes without saying, but it bears repeating, that if you’re going to win multiple rounds of business with something like Disney Plus or HBO Max, it’s for one reason and one reason only. It’s because the solutions that we offer are converting subscribers for them. Turning the paid subscribers, we ended the year with 220,000 subs, up 80% from a year ago. Similar to direct sales, we’re seeing many of the seeds we planted in 2020 bear fruit in 2021 and despite the market success this year we believe we are still in the early innings of both direct sales and subscriptions. From a combined revenue perspective, the growth areas of direct sales and subs total $12 million in Q4 or about 21% of total revenue, compared to just $5 million or 12% in Q4 of 2020. This shift in revenue mix has helped lift margins and we plan to continue to invest in these high growth, high margin areas of our business. On the content licensing and distribution side, we took significant steps in 2021 in the areas of premium content and 2022 has started off very well. We’ve also been encouraged with the success to-date we have seen on new distribution platforms like Snap and TikTok, that are now starting to generate real recurring revenue. While it’s still a bit early to share numbers, we have and will continue to make the investments needed that I believe in the next two plus years will catapult Enthusiast Gaming into a leadership position in gaming and internet culture from a premium content perspective. I look forward to sharing more with you in the coming quarters. Turning to Luminosity Gaming, our esports organization had a successful 2021. Luminosity is now head and shoulders above any other professional esports organization when it comes to time watched. We continue to build our roster of competitive players and content creators, and remain excited about continuing to grow our market share in esports. And I would also point out that when we talk about our proprietary IP, the Rising Stars, the Gamers Greatest Talent, the Luminosity Academy that we created in partnership with Lego, Luminosity Gaming esports athletes and content creators are a fixture in all of those content activations. In 2021, we successfully closed five acquisitions, including Addicting Games and U.GG later in the year and they are integrating extremely well into our flywheel. In November, we acquired the U.GG, one of the largest League of Legends fan communities in the world. The team in Austin has not skipped a beat since the deal closed and we believe there are many exciting things to come in 2022. One example is the launch of a new app last November, which as of this week has been downloaded over half a million times and which also demonstrates the strength of offering and experience -- experiences that U.GG delivers for the League of Legends community. Last quarter, I spoke about exploring NFT opportunities and gave some examples of flywheel integrations with Addicting Games. That casual and mobile games developer we acquired in September of last year. Subsequent to the year -- to the year end, we announced a unique partnership between Enthusiast Gaming and Hut 8 Mining, one of North America’s most innovative digital asset miners. This is a textbook flywheel deal. Hut 8 becomes a sponsor of Luminosity Gaming. Their logo is proudly displayed on our jerseys and fans should look for the Hut 8 Mining Luminosity merch drops coming soon. It also uses our media inventory and influencer roster, which will be used to cross promote Addicting Games as EV.IO and Hut 8. But it goes even further, while the Hut 8 deal covers the flywheel, its main income component is a game called EV.IO, a first person shooter available for anyone with a web browser. You’ll see our creators and esports athletes playing the game with their fans online to cross promote EV and Hut 8, Hut 8 Skins, Hut 8 Bosses and Hut 8 Tournaments are coming to EV through this partnership. Players will pick up Hut 8 weapons and play on Hut 8 levels. We recently announced that we are releasing custom NFTs via a partnership with the Fractal marketplace, which is led by one of the founders of Twitch inside EV.IO to engage with fans in a new way. This will enhance gameplay and drive further in game purchases. We’re plugging into Web 3.0 opportunities with the right partners at the right time, because of our unique and deliberately assemble flywheel of assets. We’re the only ones capable of this type of activation. Last year, the CEO of Epic Games said the metaverse would be about car companies putting you in the car rather than advertising a picture of a car on a billboard. This is how we’ve designed the partnership with Hut 8 and Fractal, utilizing assets across our flywheel to produce content and experiences that lead to deeper engagement and new purchasing opportunities for fans. So in conclusion, we delivered on our promise in 2021 of growing revenue more than 30%, while also meaningfully improving margins and continuing to invest in new growth opportunities. 2022 is off to a great start and I see a similar pattern unfolding with sequential revenue and margin growth throughout the year. I am confident we have the right team and strategy in place to continue executing and to continue to drive long-term shareholder value. As you see, we’ve had a busy year, but we’re just getting started. I will now turn the call over to our CFO, Alex Macdonald for further commentary on our financial results. Alex?
Alex Macdonald: Thank you, Adrian. It is certainly feels fantastic to finish such a big year with such a strong quarter, our fourth quarter 2021. My commentary will focus on Q4, with some additional observations on the year as a whole. However, prior to that commentary, here are my usual notes. I know that our results are presented in Canadian dollars. I know that our business is affected by seasonal trends in digital advertising with sequential increases each quarter throughout the year, driven by increasing ad prices and demand, which peaks in Q4 and the seasonality is isolated to our media and content revenue streams. And I know that the significant majority of our revenues are measured in U.S. dollars and are translated into Canadian dollars for presentation in our financial statements. The exchange rate between the U.S. dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing or forecasting results. And now let’s talk about the business. Growth continues, Q4 revenue was another record high of $56.9 million, up 34% from Q4 2020 revenue of $42.5 million. This increase was driven by strong growth in our media and content revenue streams, which were bolstered by direct sales. The increase was also supported by a continually growing subscription base. Q4 revenue by source was as follows; media and content $53.3 million, subscription $3 million, and esports and entertainment $2.6 million. The media and content revenue of $53.3 million, compares to a $39.6 million reported in Q4 2020, an increase of 35%. The increase in media and content revenue for Q4 was mainly driven by the following; number one is no surprise, a significant increase in direct sales, the majority of which are recognized immediate and content. Total direct sales were $8.8 million in Q4, as compared to $3.3 million in Q4 2020. Number two is a web RPM which was 41% higher in Q4 as compared to Q4 2020 and certainly congratulations to our yield team on that result. And number three, a video RPM, which was 24% higher in Q4 as compared to Q4 2020. Q4 subscription revenue was $3 million, up 83% from $1.7 million in Q4 2020. The increase in subscription revenue is attributable to an increase in paid subscribers. The company had approximately 220,000 paid subscribers as at December 31, 2021, which is up substantially from approximately 122,000 paid subscribers as at December 31, 2020. The increase in paid subscribers is approximately 80% year-over-year, of which approximately half came from each of organic growth and acquisitions. The company continues to grow the subscriber base on its existing subscription offerings and continues to offer additional subscription offerings on new platforms. Q4 esports and entertainment revenue was $0.6 million, as compared to $1.2 million in Q4 2020. The decrease primarily relates to the termination of a Management Services Agreement relating to the Management of the Vancouver Titans, which was terminated in Q2 2021. The company also did not host EGLX Digital in Q4 2021, as it did in prior years. Fluctuations in entertainment revenue are also caused by the scheduling and timing of live and digital events in the company’s entertainment division. Gross profit was an all time record high of $13.7 million for Q4, up 69% from Q4 2020 gross profits of $8.1 million. As I still often repeat, our growth strategies include higher yields and higher margin revenue streams, such as direct sales and subscription. Direct sales and subscription revenue reached all time highs of $8.8 million and $3 million, respectively, which helps drive this record of gross profit. Direct sales and subscription are now consistently over 20% of total revenue, which helps bring the gross margin to 24.1% in Q4, up 500 basis points from Q4 2020, which was 19.1%. This reveals a compounding effect in our business model when we consider the significant growth in revenue over the same periods. Operating expenses were $25.7 million in Q4, up to $12.5 million for Q4 2020. Half of this increase was from non-cash expenses of share based compensation and amortization, which were $4.2 million and $3.9 million in Q4, respectively. A portion of the increase also relates to the registration of the company with the SEC and the NASDAQ Listing Office in General Items are include items such as insurance, filing and listing our sustaining fees. Many of these expenses began in Q2 of 2021, such as the required insurance and will continue for the foreseeable future. For our analysts who may seek to forecast a certain line items of operating expense, you may notice that esports player team and game expenses are reduced in Q4 of this year. We view this reduction as non-recurring and this expense line is expected to return to Q3 levels, which was $1.6 million. Net loss and comprehensive loss was $12.9 million in Q4, resulting in a net and comprehensive loss per share both basic and diluted of $0.10. Net cash used in operating activities was $3.4 million for Q4, which has improved year-over-year from $4.3 million for Q4 2020 and we ended the year with a cash balance of $22.7 million. We are more than ever have the opinion that the results of operations and the financial condition of Enthusiast Gaming has never been stronger. We maintain a growth oriented outlook. We are in a position where revenue continues to grow significantly. Q4 revenue grew 34% year-over-year and we expect similar trends to continue. However, the growth in revenue was far outpaced by the growth in gross profit. Q4 gross profit grew 69% year-over-year and we expect gross profit to continue to outpace revenue growth, resulting in continued improvements to gross margin. When we look at OpEx, it’s important to note that we are already a business of scale. We have an audience of over 300 million monthly viewers. Those viewers consumed 40 billion pieces of content on our platforms in 2021 and this makes us according to comScore one of the Top 100 Internet properties in the United States. Now, Enthusiast Gaming already sustains and maintains the costs of this scale. However, Enthusiast Gaming is only now starting to realize the benefits of this scale. We will continue to invest in the growth of this business. But we are at a pivotal time. We have proven the business’ ability to scale an audience. We have proven its ability to scale revenue. And we are proving in real time its ability to scale gross margin. Now as the higher yield and higher margin revenue streams continue to form a larger portion of overall revenue, the scale will continue to move down the income statement ultimately to operating margin and these revenue streams are not slowing down. Adrian spoke earlier about the power of our direct sales offerings and here are some stats. Q4 direct sales grew by 167% year-over-year, repeat clients accounted for 37% of all direct deals in media and content in Q4. However, repeat clients accounted for 41% of all direct sales revenue in Q4. Statistically this suggests that a new client is likely to become a recurring clients and a recurring client is likely to spend more than a new clients. Therefore, revenue scale will continue to flow, gross margin will continue to outperform and operating margins, which are already improving will follow. I wish to thank all the analysts for their continued work on the company. I also wish to thank our new credit partners who are likely listening, thank you for your work and your competence in us and we look forward to continuing to build our relationship, and of course, my personal gratitude and congratulations is extended to my team, all of them for a fantastic year and congratulations on wrapping up the year end 2021. To our shareholders and other stakeholders, thank you for your continued trust in us as custodians of Enthusiast Gaming. Enthusiast Gaming is a hell of a business. It’s a special business. It’s your business and it’s our business, and of course, ladies and gentlemen, our business is the business of gaming. Operator, I kindly turn it back to you.
Operator: Thank you.  First question comes from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young: Hi. Good evening. I just want to -- first question would be a clarification of something you said, you said, sequential revenue and margin growth through the year. I assume that you expect typical Q1 seasonality and since we’re pretty significantly through that quarters, nobody give us like sense of how modeling the topline should be given Q1 is typically down from Q4?
Alex Macdonald: Hey, Robert. This is Alex. Yeah. I’ll clarify quickly. Seasonality certainly affects revenue in media and contents, less demand and lower CPMs, lower RPMs for digital inventory in Q1, that can extend to direct sales as well, advertisers spend less to advertise in Q1 and Q4, of course. However, when it comes to margin, that doesn’t necessarily have a big impact, because it’s all, it kind of all moves down together, direct sales will decrease, which are high margin, but the programmatic networks will also decrease, which are lower margins. There’s a slight impact by the fact that direct sales is growing significantly at the same time. But seasonality has certainly an impact to revenue in Q1, less of an impact to overall margin.
Robert Young: Okay. And so given the growth in direct, we should think of maybe less of a quarter-over-quarter decline this year than say last year?
Alex Macdonald: Yeah. I mean, last year is not necessarily representative, because we only started these eight quarters ago with direct sales. So on a percent basis, I believe, that’s a fair assumption. Yes, because, I think, last quarter was 3 to -- $3.3 million to $1 million. So that was partly because of the small scale at the time. So I would expect on a percent basis less of a decline.
Robert Young: Okay. And then in the release and the commentary you talked about maintaining a growth oriented position and outlook, and just wondering if you could maybe give an update on how you view the focus on revenue growth over getting towards positive EBITDA, you talk about gross margin expansion as well, because they’re -- you have a target for when you may be positive EBITDA or is that something that suffered given the growth opportunity you see?
Adrian Montgomery: Yeah. Rob, it’s Adrian. I think, from our perspective, certainly, we are growing revenue at a substantial pace. But we’re also growing margin, at least last quarter, twice as fast as revenue. And as Alex said, really if you look at the evolution, the very quick evolution of our business, step one was to scale an audience and scale ad impressions and we now have 300 million people a month digesting 40 billion views of content a year. So that’s been achieved. The second step was to scale revenue, and now as Alex quite accurately said, we’re scaling margin in real-time going from just over 16%, when we bought Omnia in August of 2020 to 24.1% to end the year. And so the margin growth in the business as the flywheel continues to move is something that we’re really excited about and so when you are growing margin as fast as you are, effectively, we added $40 million to revenue on a pro forma basis in 2021, but lifted the margin dominator up by 8 full percentage points, which means that now that we built this scale, that incremental revenue is coming in at north of 50% margin. So we believe that, obviously, we’re going to take full advantage of the growth opportunities that sit in front of us, but growing as fast as we are, bringing in that incremental revenue in at north of 50%. As we continue to execute against that, we’ve never been on a firmer track -- a firmer short term track to profitability.
Robert Young: Okay. So maybe to hold you to something, would you say that you’re more positive on -- positive -- gain towards positive EBITDA, let’s say, last quarter or would you say that you’re more focused on the growth. I was just trying to get a sense of change in your priorities as management?
Adrian Montgomery: Well, like the CEO, who just has a degree in American history just pushed the CFO out of the way to grab the mic. We’re going to -- I think we can do both Rob, but Alex before.
Alex Macdonald: Yeah. Hi, Rob. Rob, we -- look, nothing is going to stop our growth. We aren’t -- it’s not our style. We’re still going to pursue that. We’re proud of that. We’re not here for small wins. We’re here for a big win. So I don’t think the two are necessarily and always in conflict with each other, but we are not going to prioritize anything over growth. However, as Adrian pointed out, look at the way we are moving, we created our own inventory, we created our audience, we generated significant revenue off of it, we’re improving gross margin off of it and now, I will say, the operating margin, at least on, of course, on adjusted basis is improved this quarter, and we obviously have a site down -- the sideline down the P&L. We’re not stopping at gross margin. We’re going to keep going. But nothing is going to stop us from growing. Nothing is going to get priority over that.
Robert Young: Okay. Great. Thanks for all that color. Maybe just last question. Thinking back to when you acquired Omnia, you gave a little bit of detail around where you saw gross margins could eventually go to, the 24% that you reported is the highest yet. And I’m just curious as you look at the business model and where the direct sales and subscription are going to grow, like, where do you think the gross margins can go to over the longer term, if you’re thinking of like a target gross margin over the next couple of years? Then I’ll pass the line.
Adrian Montgomery: Well, we purposefully refer to ourselves as an integrated entertainment company and we believe that as we continue to see the margin expansion. As we scale the business, we think of the possibilities as we execute in terms of traditional entertainment company margins both from a growth perspective and an EBITDA perspective. So on a terminal state basis, it is, what Alex?
Alex Macdonald: Terminal states, there’s no reason digital media and digital integrated entertainment company could enjoy gross margins pushing north of 50% on a terminal basis. These would be similar P&L profiles to traditional media companies, except of course, with the benefit of being digital, they have lower costs and that flows out, like, operating margin, certainly, in a terminal basis hypothetical would be north of 20%. No problem, again, for the same reasons related to the profiles of traditional media companies. Rob, it’s also funny you talk about Omnia. I remember, of course, when you launched coverage and we had -- the margins always been something we’ve spoken about when Omnia was acquired. And I think back then, we started discussing and present plans, well, how does this company get to 30%? We’re at 16% at the time and there was feels to how is that possible? How do you double? Well, a few short quarters later, here we are, we’re at 24%. We are -- a significant amount of the way through that journey. I also draw one more connection if you if you took the difference and the net cash used in operating activities, which was $3.4 million and divide that by the total revenue that is 6% of revenue, which plus $24 million, of course, would be 30%. So I was actually thinking of you when I saw those numbers when we had those original conversations.
Robert Young: Okay. Well, thanks a lot for all the answers and I’ll pass the line.
Operator: The next question comes from Mike Crawford with B. Riley Securities. Please go ahead.
Mike Crawford: Thank you. Before asking something a little bit more strategic, I was wondering, if I could just nail you down to that, you think that there’s a greater than 50% probability, you have positive EBITDA in the fourth quarter of this year and also for the full year of next year?
Alex Macdonald: So -- hey, Mike, how you doing? It’s Alex. Well, I think, there’s a solid probability. We don’t have guidance. And of course, we have our priorities of growth. And of course, statements are forward looking. But there’s a couple things I’ll point out. We are approaching those margins, where that certainly, even mathematically makes sense, we’re getting quite close. And secondly, we have a couple trends with us. The trends in the high margin -- high yield, high margin revenue streams. We have the trends and the acquisitions flowing through for next year, and of course, seasonality in any given year, but particularly, if we looked inside 2022 seasonality, which will boost the back half of the year. So I think we’re getting quite close. Not for the year, however, of course, because we’re not there starting the year, but Q4 -- Q3 and Q4, and thereafter, I’m -- we are quite bullish about it.
Mike Crawford: Okay. Thanks, Alex. So, just regarding your business, I mean, how you’re monetizing some of the content, after Twitch, what are the next most important distribution channels for some of your stream content from athletes, and more importantly, creators?
Adrian Montgomery: I’ll let Thamba answer that one. Thamba?
Thamba Tharmalingam: Yeah. Thanks. Thamba here. So, I would say, the Twitch, if you look at where most of our content is, it’s -- a huge presence in YouTube, right? Massive presence in YouTube in our content. And as Adrian alluded in his comments earlier, we have had some great success in TikTok and Snap of late, where we’re extremely pleased with the growth prospects of that. So I would say, outside of Twitch, those would be the video content distribution channels.
Mike Crawford: Okay. Thank you. And then just given the five acquisitions last year, in the way that you structure deals, there is a large portion, I think, it’s $48 million short- and long-term on the balance sheet of deferred payments related these acquisitions. I think those -- many of those are, like, kind of stretch based or performance based goals. So I think you would prefer rather than the not to actually pay that out, because that would mean your acquisitions would are working in, as well as or better than planned or am I -- should I be looking at that differently?
Adrian Montgomery: No. That’s accurate. That’s accurate.
Mike Crawford: Okay. Thanks, Adrian. And with this innovative part, a partnership that you now have, are there other vertical groups or categories that are just right for a sponsorship like that with Luminosity and/or Enthusiast?
Adrian Montgomery: I’ll let Thamba who also is the architect of the Hut 8 partnership comments on the other verticals. But before we do that, I want to reiterate that, there’s a lot of people who put the word metaverse into a press release. There’s a lot of people who talk about Web 3.0, because they think it’s a cool buzzword. We’re not professing to be experts. But we’ve gone from mentioning NFTs to doing a multiyear partnership was one of the most innovative digital asset miners to getting them integrated into a first person shooter game that we own, to doing a partnership with Justin Kahn is the founder of Fractal -- who’s the founder -- a Co-founder of Twitch and owns an NFT marketplace called Fractal to being in a position where we’re about a few short days away from our first ever NFT mint. So this -- as these concepts like the metaverse and Web 3.0 come to life, recognize that we’re not limited to these binary one dimensional sponsorship deals that other sports -- the esports organizations are. We’re actually creating content, creating IP and creating an end-to-end solution as we take steps into the metaverse and Web 3.0. So I’m very proud of the team at Addicting Games, the Talent division for bringing this all to life. Because as Alex said or I might have said in my prepared remarks, we’re also going to have Luminosity, content creators playing EV.IO, going on Twitch, getting their fans to play. This is a fully integrated opportunity that we’re exploiting. Having said that, as we look to more strategic partnerships in different verticals, I will let Thamba answer that.
Thamba Tharmalingam: Sure. Thanks, Adrian. So just to add to what Adrian said, if you look at what we’ve done in Web 3.0 with NFT and when we brought with our asset Addicting Games there, we’re looking at similar partnerships with a number of different verticals. We’re an active conversations with a number of different verticals on what that would look like. So it’s not a straightforward sponsorship deal, but more strategic and innovative in the nature in which, how we’ve done this, how they feel or how we’ve entered into the NFT space. We’re looking at sports categories. We are looking at music categories. We’re looking at a few CPG categories. More to come, but we’re in active discussions in a number of verticals.
Mike Crawford: Okay. Thank you. And then last question, for me is, what progress do you have on your efforts to develop more of an interactive fan community with user generated content through projects such as your GG Project?
Adrian Montgomery: So we are making a lot of progress on GG. Certainly, the Tabstats platform that we acquired in and around the GG planning has been with their 10 million registered users has been a fantastic launching ground for us. We’re learning a lot in the alpha phase. And we also see an opportunity that we’re not going to take a misstep on. So I’m highly encouraged sometimes, even the geniuses at Google had Gmail in beta for what was it 10 years…
Thamba Tharmalingam: Roughly 10 years.
Adrian Montgomery: Roughly 10 years. So we’re not going to rush something until we know we got it right. But we’re learning a lot and we’re really pleased with the progress and we’re going to add more game titles, more features. We’re developing that in real time. And I think that, GG is also, it’s a code word within our organization for innovation. So Thamba maybe you want to expand on that.
Thamba Tharmalingam: Sure. Thamba here. So just to add on that, as Adrian said. GG -- Project GG is our sort of internal codeword for a number of innovative initiatives that we’re pursuing and very pleased with the progress so far. We’ve got a couple of features that we’ve rolled out to our user base in terms of our alpha and our results have been very encouraging for us. As Adrian said, we’re not going to put something out there to our gamer community where we haven’t fully tested that and it hasn’t been fully adopted by our community. Having said that, we have -- we’re planning on launching a few features, you’ll see it in a number of different properties, such as U.GG, you’ll see us unlock a couple of features such as Tabstats, you’ll see us unlock a couple of features. But very pleased with the progress so far and we will -- how we’re doing on that product roadmap.
Mike Crawford: All right. Thank you very much.
Adrian Montgomery: Thank you, Mike.
Operator: The next question comes from Drew Mcreynolds with RBC. Please go ahead.
Drew Mcreynolds: Yeah. Thanks. Thanks very much. Good afternoon. A couple might have already been addressed. So a couple more here. On the M&A environment, I think, in the last kind of four months or five months, it feels like just capital markets, obviously, in a different place and tech valuations certainly come down quite a bit. I am just wondering if that M&A environment in terms of your pipeline has evolved any differently as a result, whether there’s more or less opportunity out there. And then second, just in terms of the revenue outlook, first of all, thanks for the gross margin and kind of EBITDA commentary certainly helps us kind of triangulate little better on the forecast. But on the revenue side, I don’t know who wants to take a crack at this, but just I know there’s plenty of opportunities all over the place, just if you could, for 2022, 2023, just remind us kind of where you see kind of the deepest pockets of growth, obviously, direct sales penetration being one of them, but just curious as to how all of these things stack up in terms of where the bigger deltas are? Thank you.
Adrian Montgomery: Thank you, Drew. The good news, I think, a lot of themes to address. Those couple questions are interrelated. Certainly from an M&A perspective, we want to continue to do M&A, we want to do it in a way that enhances value. And certainly, it’s important to us, as we bring these fan communities into the fold that they’re invested, the whole thesis about bringing U.GG into the EG flywheel, we have lots of conversations with U.GG as an example. We’re bringing them into pitches, direct sales deals. So it’s important for us to have our acquisition targets become invested in the EG story from an equity perspective, because the whole thesis that we have is that one plus one equals three. And so, the more challenging the environment, from a macro perspective, the more challenging it is for us to deliver on that model. And I would point out that we see so much opportunity from an M&A front and we also believe that we have almost a secret and proprietary list of targets that have not really become known to this to the outside world. So we’re going to balance all those priorities, the opportunities continue to exist, but executing them in a creative fashion is something that we’re very disciplined about. Now, the good news for us is that if we can’t do M&A for a couple days, we have a business that’s growing at 35% and margins growing at 70% and we can continue to deliver on the aggressive growth assumptions that folks like you have ascribed to us purely from an organic basis. And so as we look at the opportunity, I mean, again, couple things that roll up under Thamba subscriptions, direct sales, I am very pleased that we’re sitting at 220,000 subscribers. But I’m also reminding people and they’re reminding me that the denominator we have to work from is 300 million. So think about the ocean of growth that we can continue to take away at on subscriptions. And then, Thamba, I’d ask you maybe to offer some more commentary on direct sales. Certainly, the growth we’re seeing is exciting, also -- the repeat business, okay, 42%, of our almost $9 million in direct sales in 2021 coming from recurring customers. And I can tell you, with two days to go in the quarter that number will be substantially higher in Q1. And when you think about who are our biggest customers, State Farm Insurance, each in our block, believe it or not, is one of our more significant customers in Q1. And the reality of the situation is, all these middle aged marketing executives found out during the pandemic, just exactly what their kids and nieces nephews were doing all day. They’ve -- the light bulb has gone on and it said, we cannot engage without Gen -- with Gen Zs and Millennials without a gaming strategy, enter Enthusiast Gaming that is effectively a one stop shop. You want esports, we got it. You want the best websites in the world, we got it. You want YouTube inventory that is offering 92% -- 94% completion rates, which makes us alongside connected TV tops in the industry, we got it. You want games, we got it. You want events, we got it. So we can start to customize. You want proprietary content. One of the things that I’m proud of, we just did a campaign for DoorDash and within the walls of Enthusiast, we created a 4.5 minute animated program. We introduced a new character, specifically for DoorDash and ran it on our own YouTube channels and the thing had incredible success. Nobody can do what we’re doing for our customer base. And so, I know I asked you Thamba and then I took all the thunder away. But perhaps you can, like, direct sales is a huge growth area for us. Anything else to add?
Thamba Tharmalingam: I think maybe I’ll wrap it up with everything that Adrian said, you could just -- if you’re in the room, you can see the excitement that he has, as he explains the growth that’s ahead of us on direct sales and subscriptions. Lastly, on direct sales, the thing that I would add is, we started out with our sales focus in New York, we expanded them to LA, we’re now in Chicago, we’re now in Texas. We’ve just started our sales office in U.K. So from -- even from a geography perspective, we’re growing and I’m very optimistic with the progress so far. And outside of that, I would say, we’re opening -- there’s new verticals that are coming up to us that we haven’t had access to before, right? So as much as we want to see the repeat business, in fact, the selfish state, I would want to open new category, so I would want to have new customers so that we can have, I want that formula turned upside down. But we’re very pleased and the repeat business just shows the confidence that marketers have out there when they allocate their budgets to us and we’re going to continue to deliver on that. But at the same time, we’re also going to unlock new verticals for us.
Drew Mcreynolds: Okay. That’s great color and certainly can feel the enthusiasm and excitement on this end of the phone. So, congrats.
Adrian Montgomery: Thank you.
Thamba Tharmalingam: Thanks, Drew.
Operator: The next question comes from Derek Soderberg with Colliers Securities. Please go ahead.
Derek Soderberg: Hey, guys. Thanks for taking my questions. Adrian, I want to start with you. Facebook recently blamed some privacy changes at Apple on -- they are sort of weighing on advertising revenues. Just curious if Enthusiast has been impacted at all by these changes and how we should think about these types of moves broadly.
Adrian Montgomery: Yeah. Thanks, Derek. We have not been impacted by those changes. I think as it pertains to privacy and other things, I would just offer up two points. One, we own first-party communities. We have direct relationships with our fans and with our audience members, and there’s no greater forcefields protect you against privacy issues, particularly in a future where third-party data is going to become harder and harder to access than owning the communities and the relationships on a first-party basis. So we feel that we’re well positioned moving forward on that front. And then the second thing, I would reiterate, and certainly, you’re getting a fair amount of enthusiasm from us pardon the pun on the direct sales is that, unlike Facebook, unlike IGN, unlike Gamespot, where we’re starting to really resonate in the marketplace is we just don’t sell straight up media. That is a component of what we sell. But we are Gen Z whispers. We sell customized bespoke solutions that involve a number of different assets that we package together. Case in point, the DoorDash animated content on an owned and operated channel. Case in point, creating customized Hut 8 branding within a first person shooter game that’s available on a browser, esports jersey sponsorship. These are things that that have nothing to do with the vagaries of straight up media. The beauty for us is we unlike any other esports organization, we can deliver media scaled media and we can actually and I’ll say the point again, because it bears repeating, like, when we bought Omnia, we had a belief that this was some of the most valuable video inventory on the internet that was being undervalued. And today, as we sit with video inventory that consistently gets 90% plus viewability and completion rates, I can’t overstate the fact that that puts us at the top of the heap in terms of digital media. So when you put all those assets together and Thamba builds really to create these customized solutions for their clients, it’s way more than just a media sale.
Derek Soderberg: Got it. And then as my follow up, Alex, I am wondering if you could share where gross margins are for direct sales today and maybe where they can be long term? And then can you share to what degree the direct sales contribute to gross margin expansion either sequentially or year-over-year?
Alex Macdonald: So I’ll tell you where they’re at and then I think that in fact I will answer the second part of the question through there. They still are coming in around a 50% margin. There’s a bit of an array. Of course, we have higher touch, things like live activations or even digital live activations with studios and presenters and anchors and all sorts of things. Those are right now the lower and then the digital media and some of the other sponsorship areas are higher. They’re still averaging about 50, right? Where they can go that question? Look, as we scale them, there will be economies of scale to the margin as well. Of course, our live entertainment or digital entertainment properties, which Adrian listed, I think a good list of them. Those can support additional sponsorships which will raise the overall margin of the sponsorships against them. So I think that number increase. But right now it’s -- we’re more working on scale and just building it. It’s -- but it is coming in around 50%.
Derek Soderberg: Great. Congrats on the progress. Thanks, guys.
Alex Macdonald: Thank you.
Adrian Montgomery: Thanks, Derek.
Operator: The next question comes from Jeff Fan with Scotiabank. Please go ahead.
Jeff Fan: Thanks. Good afternoon. Most of my questions were answered, just a couple of follow ups or clarifications. One is on the OpEx. I know, Alex, you’ve explained a number of reasons why that number has ramped up through this past year and it -- but it sounds like, what you’re saying is, you’re at scale. So am I to interpret that at the $17 million, $18 million where you’re today is the right jump off point for 2022? And then the other question is probably for Adrian, 42% of direct sales coming from renewals. That’s great to see and the fact that these are coming at higher budget and higher camp -- bigger campaigns. I’m curious, when you go up on these campaigns competing for these deals? Who are you going up against? Are you going up against the other folks that bring gaming properties or are you going up against non-gaming who pretends or claims that they have a reach into Gen Z. I’m just curious as to who you’re going up against on some of these campaigns where you’re winning?
Alex Macdonald: Hey, Jeff. I’ll start. This is Alex. And just pardon me for my shortest answer ever. But, yes, that’s your kickoff point for the next year. I think that’s a good basis point and I think you have it right. But the bigger answer, I’m going to turn to Thamba to provide the second part of the answer.
Thamba Tharmalingam: Okay.
Adrian Montgomery: Yeah. Go ahead, Thamba.
Thamba Tharmalingam: Hey, Jeff. It’s Thamba here. Good to see you or just connect with you. Just to give -- add some color on, who are we competing against when we go to market with our asset mix out there? It’s a number of competitors, right? First and foremost, on a straight up media, it’ll be on one end, we could be competing or we’ll be taking money away from Google and Facebook. So the world where traditionally marketers spend money directly with Google and Facebook and we’d be taking that money away from them, because our ability to deliver a targeted audience with much better completion rates or CTR, if you will, is not something that some of the larger advertisers could offer. On the other side, we would be competing with other brands out there, such as, it could be, just to name some of our esports brands out there, it could be, we’d be taking business away from like phase or 100 days or what have you, right? And the part of the reason why we’re very successful is, as we said, we’re able to not just provide sponsorship, direct media sponsorship, but we do a lot of custom integrated work, that results in a far more, much higher engagement metric for the marketers out there and which is why you’re seeing the repeat business, what -- just to give an example, if there was a TBD insurance company out there that spent a test budget of six figures with us last year and if they’re very happy with the results that they got versus what they would have spent on the open market, they would come -- they’re likely to come back with a seven figure deal, because they’re just, that is not a result that they can get out there with other advertisers or other open media’s out there. 
Jeff Fan: Got it. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Adrian Montgomery for any closing remarks.
Adrian Montgomery: Thank you. And I just want to reiterate that, certainly, how proud I am and how excited we are at Enthusiast. We’re performing and we’re executing at a high level. We see a lot of momentum in 2022 and we’re going to continue to work hard to continue to perform at a really high level. We’re going to continue to innovate. We’re going to continue to break down barriers. We’re going to continue to drive this business forward and drive this industry forward. And we’re going to continue to play a leadership role in this industry. Now, the final point I want to make is that, we are in the business of building fan communities. But it goes without saying that beyond the numbers, the most important community in our world is the one we have right here at Enthusiast Gaming. So I’m so proud of the men and the women who work at Enthusiast Gaming all over the world each and every day. I’m proud of the leaders and managers that continue to drive results and deliver exceptional performance. And I just want to say thank you for all that you do. It certainly doesn’t translate into the visibility of what we do. But the secret sauce of Enthusiast Gaming is the excitement and the obsession with this business and with the world of video games and esports. My team does 12 hour days and then goes and watches Twitch to find the next Luminosity superstar at the end of a long day or they play EV.IO. We talk and plot and scheme on weekends and late at night. And I just want to say thank you employees of this great company, our secret sauce and we should all be very proud of what we’re delivering on a daily basis. And certainly, alongside the employees are the fans and the audience who keep coming back and engaging with us and making us better. So I want to say thanks to those two groups of people. We’re excited about the future, we’re just getting started and we’ll be back with you soon to talk about Q1.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.